Operator: Good day and welcome to the Full House Resorts Incorporated First Quarter Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Lewis Fanger, Chief Financial Officer of Full House Resorts. You may begin.
Lewis Fanger: Thank you and good afternoon, everyone. Welcome to our first quarter earnings call. As always, before we begin, we remind you that today's conference call may contain forward-looking statements that we're making under the Safe Harbor provision of Federal Securities Laws. I would also like to remind you that the company's actual results could differ materially from the anticipated results in these forward-looking statements. Please see today's press release under the caption forward-looking statements for the discussion of risks that may affect our results. Also, we may make reference to non-GAAP measures, such as adjusted EBITDA. For a reconciliation of those measures, please see our website, as well as the various press releases that we issued. And lastly, we're also broadcasting this conference call at fullhouseresorts.com, where you can find today's earnings release as well as all of our SEC filings. And with that said, you ready, Dan?
Dan Lee: Yes. First quarter, it seems like a long time ago now. I mean just addressing where we were in the first quarter, Silver Sipper was doing quite well. The Northern Nevada is doing okay, Rising Star and all of Colorado we're doing better than we had in the second half of last year and trending positively. And then everything shut down in the middle of March. So the quarter is obviously very distorted by all of that. And I think the question now is getting stuff reopen. It's almost like having a development company, where you've got a handful of employees and you're getting ready to open five casinos and put a lot of people back to work. I guess very important at the end of March, we had $24 million of cash and equivalents. Now a good chunk of that is normally used in operations and most of the rest came by stopping construction on the parking garage that we have underway in Colorado and that is being used as kind of a cushion. In the first month that we were closed, it should have been from mid-March to mid-April. We'd probably burn through about $5 million. A lot of that is severance, as we've reduced the payroll and our burn rate after that period is about $3 million a month, of which about $1 million is debt service on our debt. And most of the rest is actually stuff like real estate taxes and utility costs and so on. Payroll is about 20% of the $3 million. We've gotten payroll down pretty small at this point. We did just receive a $5.6 million loan under the CARES Act. It's a two-year loan and 1% interest, that has incentives in it for us to hire back employees and we'll be hopeful at getting Colorado and Indiana up and running. Those are the two properties we have that have less than 500 employees and then a very specific provision that was in that CARES Act that allows subsidiaries like that to not look at the total parent in terms of number of employees. Silver Slipper has more than 500 employees, but those two have less number of hotels associated with them. And so, we qualified. And frankly, there's all this language about possible forgiveness. Those rules aren't really spread out yet, exactly how it works. It's possible that some of that loan would qualify for forgiveness, depending on what our payroll is over the next eight weeks, which in turn depends on when we're actually able to open. We have brought quite a few employees back to work already, trying to put them to work to get ready to open at those properties. So in terms of actual openings, the first one to open, we think, is going to be the Silver Slipper and that may be next week. The State Gaming Commission is still in advance of Memorial Day weekend, so that's coming up. I'm not sure exactly which day. Some of the stuff has been a little strange. Like in Nevada they suddenly said, we could open restaurants, but not casinos, but we have a restaurant in Fallon. And we have like 36 hour notice, we're like, we don't really think we can get food that fast. But we're now looking at getting that open now. It's just a coffee shop. We won't make a lot of money, but it might make a little money and gender some employee some customer goodwill and get a handful of our employees back to work. But that also will make it easier when we open our casino because we're not trying to open both the restaurant and casino on the same day. So that's coming in Fallon. At Tahoe the Hyatt, which our casino was in is now same. We don't anticipate opening until early June. It's possible we could open the casino before the Hyatt but that gets possibly a little complicated. But I think we're in that time frame sometime between now and early June, we open in Tahoe. In Colorado as I indicated – as the governors indicated, we do not expect the casinos to open in May. A lot of people interpreting that as being early June but it might actually be mid-June it's hard to say. And then in Indiana, they specifically did say June 14, should be the date that we count on. So in the next few weeks we think we'll be opening all of our operations. And frankly that has us pretty busy trying to figure out exactly how to do it. We've done the marketing plans in both Colorado and at Rising Sun, which is a lot of work. Where we have the CARES Act loans, we've got employees back to polish and buff the place and fix it up and get ready. Don't preserve or suffer, we're doing some of that as well getting ready for next week. We're installing like plexiglass panels between some slot machines that can slide in and out. So if you want to be separated from the person next to you, you can pull that panel out. And we're hoping that that will allow us on some of the popular banks to keep all the machines going instead of having to turn off every other machine. It's not clear yet. That varies from state to state on what the different rules are going to be. We're trying to figure out how to make table games the buyers safer. And so a lot of those rules we're trying to work out with the different gaming regulators and internal. But where people and so the first question is when do we open? Second question is under what rules? And we're still trying to figure that out. And I guess the third is will the customers are really going to show up? We've heard anecdotally that there's about a half a dozen tribal casinos that have opened in different places where they are allowed to do so. And so far they all seem to be doing pretty well. And I think Golden Gaming at their earnings call indicated that they had pubs up in Montana that had slot machines in it some sort of a route operation. And they've opened and seemed to be back to pre-pandemic business levels pretty quickly. So there's not a lot of data out there but with data there is the themes indicate that business will recover pretty quickly. My guess is some of that is pent-up demand and then maybe a few weeks later, the reality of the 15% unemployment rate might start to sink in. But there's a lot of different moving pieces in this. Like a lot of our customers are retired. If you retired you can't really be laid off and you still got a $1200 stimulus check. So we have some of that going on as well. So now we are planning to open but we're carefully. In most cases we will not open all the restaurants. We will not open all the table games and we're going to try to make sure that we have more customers than employees if you will. So we're trying to open kind of on the aluminum side and we can always build from there because we just want to be cautious just in case customers don't show up. So we hope they do but we're planning for a more conservative scenario. Meanwhile the mobile sports wagering is coming along. All three of our partners in Colorado have been licensed. They're awaiting approval of their apps. Smarkets has indicated they expect to be open this month actually in the next 10 days. And the one in Churchill, we think we'll be up and going sometime this summer but we don't control or know exactly when that is. Professional sports does seem to be trying to find ways to come back. And of course, that will help the sports betting. Now I think people want to get up and running with these sports skins anyway because we want to get market share, even get people signed up on your stuff. So I don't think anyone is dragging their feet waiting for professional sports. But there's a lot of work that our partners have to do to get their apps approved by the different regulatory agencies and get licensed themselves. And but, they are licensed now in Colorado. And Churchill is, as it mentions in the release, it's been up and running in Indiana, and the other two are still seeking approval in Indiana and that's probably not very far off either, when all six are up and running, and we think that's prior to the end of the third quarter and maybe even at the end of the second quarter. Well, when all sites are up and running our minimum guarantees are about $7 million a year or exactly $7 million a year, and there's no expenses. There were very few expenses related to that. So that's almost all income, and there's no maintenance CapEx or anything. So it's a pretty substantial thing for our company and it's coming on stream shortly. What else is there?
Lewis Fanger: The only other thing I was going to mention Dan was, we are very fortunate to have a good group of lenders, and so in April, we effectively amended our indenture to delete the debt-to-EBITDA requirement for the first quarter. But I mean that group is a good group -- back in mid-March within days of the closures, our lender group came to us with a plan for amending pretty much a full year's worth of covenants, and didn't make sense yet to figure out exactly how those should look, even we didn't know when we were going to reopen. But now that we have some potential dates and site, we'll inch a bit closer to getting those future covenants all worked out.
Dan Lee: We should mention we do, anticipate that we will need covenant relief on the June quarter, which is why 10-Q we filed in mid August and we just decided to leave that to be dealt within August with the lenders kind of on a handshake, because by then we'll have stuff open, and we'll know more that the sports betting will be in a better position to figure out what the covenant should be going forward from there. But at the moment, we would covenant at the end of June that we think is pretty unlikely that we're going to make.
Lewis Fanger: We haven't positive tested it exactly.
Dan Lee: Yeah. Technically, we haven't tested. Then -- Waukegan is still out there, where we were one of three bidders to clear the cities process. The State Gaming Commission still intends to choose somebody. Before we shut down, we were in discussions with three different parties to partner with it, and we would anticipate financing that on a project financing basis. I think everybody is pretty distracted with getting their own casinos open at this point. But I think once we do get open and things get resolved, we'll resume those conversations. Waukegan's a good opportunity for whoever is chosen by the Gaming Commission. We think, we have a very good proposal for it, and we'll see where it goes. So it's kind of hard to imagine building something new when you can't even operate the ones you have. But, those opportunities don't come around everyday. So we had put in a proposal. We make the first hurdle, and we're still in the game. I guess that's it. I'm happy to take any questions. It's, we're -- I think we're doing fine under the circumstances, and eager to get stuff reopened.
Operator: Thank you. [Operator Instructions]
Dan Lee: While we're waiting for -- go ahead.
Operator: Go ahead, sir.
Dan Lee: I was just going to say while we're waiting for people to queue up for questions. I'd read kind of a detailed shareholder letter that went out with a proxy that kind of replaces the old class annual reports. And in there, I made the comment that in the regional gaming markets, they tended to recover faster than say Las Vegas or destination gaming markets and did so after 9/11 and did so in 2018 -- in 2008 with the recession. We actually went back and pull those numbers and that's absolutely true. We can happily show to anybody who wants them. But if you look at what happened after 9/11, when air service was disrupted and people were afraid to fly regional gaming bounced back pretty quickly and much faster than any destination that required people to fly to and very few people fly to our casino. So I think that the same phenomena will happen again. And then in the recession the regional gaming did better, because after all it's a less expensive entertainment. It's not very expensive to get your car and drive from Cincinnati to Rising Star or Colorado Springs to Cripple Creek. And -- so we think we're doing relatively well. That doesn't mean we're going to be up 20%. It just means we'll do better than say Las Vegas or Atlantic City. And I think we'll do fine. But we never had a situation quite like this before and so it's hard to say. Any questions?
Operator: We'll go to our first question from David Bain of ROTH Capital.
David Bain: Great. Thank you.
Dan Lee: Hey, David.
David Bain: Hey, guys. Yeah, I was just going to ask first on the impact or the impact from COVID, has that caused you to relook and maybe analyze the entire cost structure in a way that you believe could impact or not impact longer term revenue generation and maybe allow for stronger flow through in the portfolio?
Dan Lee: Yeah, we have looked at it pretty carefully and it's actually reminiscent that when I was at Pinnacle we had opened L'Auberge in Lake Charles. We have been opened about five months when Hurricane Rita hit us and we had to close for I would call it five or six weeks. And it had a lot of revenue and not a lot of income in the first five months of operation. And while we were closed, we reexamined everything pretty carefully. And once it reopened, it was quite profitable and has been ever since. And now it may have gotten there anyway just maturing, but the hurricane actually gave us a chance to do that, and the same thing here. And then we've been going through everything looking at what makes sense the -- for example, we will not operate table games 24 hours a day at several markets. We won't operate all the restaurants as we had before. Under some of the new rules on table games, we'll end up having higher table game minimums in order to keep them profitable, which means operating fewer over them. Even on the slot machines we're trying to be smarter. The frequent player program in Rising Sun was pretty antiquated and we've done a complete rethink of it. Now that we have better information coming from the Konami system, now we know with much better detail, which customers are most important to us. And we tailwind the program to reward those who are important to us and to reduce some of the giveaways to people who are less important to us. The old program I think there were people who we were not making money on. And so by having this opportunity to rethink it and reimagine it and reinvent it, and frankly now we've brought our casino hosts back to work out of their homes to call people up and explain the new system to them. And for our most important customers, it's actually a better system. And so we have the time to explain that and the resources. So yeah, correct I think and hope we can open smarter and better than we were before and we're rethinking really everything in the company right down from like the menu with the coffee shop in town. It has a much more simple menu now than it was before. And already down to -- if we want to operate that Mexican restaurant at Bronco Billy's until we get into deep demand periods and when it's really proven that it's needed. So across the board we're trying to figure out how to be smarter.
David Bain: Okay, great. And I know it's kind of a hyper local market, which I agree definitely should recover faster than the other markets and location significant. But do you envision a more promotional environment when the lights turned back on? Is there -- it sounds like you've already done some pre-marketing strategies that you're implementing even during these times? Or is it more like you turn the lights back on everyone knows for the casino that are in town. And many are just looking to go back to gaming activities?
Dan Lee: No. Look in Rising Star and actually in Bronco Billy's if anything, it might be a little less promotional because we figured out that to certain groups of customers, where we're probably giving them more comps than they really deserved. And then, we actually ran the math on one of the categories at Rising Star and -- I'm paraphrasing numbers, because I don't remember exactly what they were. But it was a customer who might be worth $5,000 a year in gaming win, based on their play. And if they took advantage of everything we gave them, it might cost just $5,000 a year. And that was like, that customer is not really profitable, and so we said, let's kind of changed that parameter. Hopefully we keep the customer, but make them a profitable customer. We had some customers who were clearly playing gaming the system, and you start looking at everything they were getting the free buffets, and the free hotels, and everything else. And they were almost carefully gauging their play, so that they could loot off us for free. And so, in some ways, we're going to be less promotional. On the other hand, with some of our most important customers, and by most important I mean, most profitable because we will try to make sure that, we do better. I'll give you a simple example. The -- it's a five tiered program at, Rising Sun now. And historically, you would have some sweep stake, like a hot seat product or something, and it might be $100. And so for a low-end customer that would be a great price for a high-end customer, that'd be a small price. Well, under the new program, it's as well if you're a two-star customer, its $200, if you're three-star customers, its $300. And if you're a five-star customer, you go in $700. And so the size of the prize is related to where you are in the tier program. So if you're one of the VIP customers, you're actually getting rewarded better. But in order to be in that high-end category, your expected win per year is enough bigger that we don't mind paying the $700, if you happen to win it. And so, we're trying to be more thoughtful about this stuff. And make sure we're rewarding the people, who we make money with and not just giving away free food to people, we don't make money with. And the player development host coming back, that's a little bit of an unusual anomaly, in those two markets. The small business administration loans type the name of the program is the pay check protection plan. And the idea is rather than have these people be on unemployment with no medical plan, try to incentivize companies to keep them on the payroll, with a medical plan. And so, by bringing them back, we may -- there's no certainty, but we may, qualify forgiveness under the plan. A lot of the rules are kind of vague at this point. But, at least on the rules that they've given that we should qualify for forgiveness. So it's kind of like at those two markets, we have an opportunity to call our development people and our hosts and say "Hey we want you to come back to work. We'll put you on the payroll. And we'll pay for your medical plan" all of which is essentially paid for by the Small Business Association and -- but we're trying to do it, in ways where we can put people to work that, we will get benefit from. And in some cases, we're literally bringing back bartenders and giving them a paint brush. And say if you help us paint, we'll put you back on the payroll, because the program kind of incentivizes us to do that. So, we are kind of prime candidates for the program. And we're using it the way, it's intended to try to put people back to work. But like at Rising Star, we are the largest employer and largest taxpayer, in the community of Rising Sun Indiana. And we normally have about 400 employees there. We got down to about 20 employees. We're now trying to get back at about 100. And then when we're able to open, which we think is in mid-June, we'll be back to 400. But that program is already set now. It looks at your first eight weeks from when the loan gets funded, we were funded last Friday. So if we can put people back to work now, it's kind of subsidized. And so, when you look at bringing back casino host just to call up people and say Hey, how are you doing? Can I drop back some toilet paper or something you might really appreciate these days? And maybe you wouldn't ordinarily do that. But given that it's kind of subsidized. And that's what the program intends for us to do, we're doing. And does that make this more promotional? I don't know. I think it makes us maybe perfect. And I think everybody's just -- look it's easy to when you think of how difficult it is to open these places. And that's why -- I mean out place is relatively small, but we're still going from 5 management employees to 500 employees like the Silver Slipper to go from 5 or 6 management employees to 550 employees in a very short period of time and get the doors open. That is no small task. And -- but that's why companies like Wynn and Las Vegas Sands kept paying their employees because they'll have 10,000 employees at a place like Bellagio. And if they all scatter to the wind just recruiting and training 10,000 people will cost you millions and millions of dollars. Now we have these much smaller properties, it's certainly a lot easier for us. But still not easy and it takes take lot of effort and a lot of work to take up these things where you open.
Lewis Fanger: So net-net now I think we're going to be down in our markets for what it's worth Dave.
David Bain: Right.
Lewis Fanger: So it will -- marketing opening. Yes.
David Bain: Okay. Perfect.
Dan Lee: At least in the nutshell there's no -- let's see where the world is before we go to next stage right? And at least from the tribal casinos and there are just few reports of it now, people showed up and stood in lines to get in. There is one travel casino in Idaho been open 20 years. And when they open they only had half their slot machines turned on. They limited the number of people coming in and they still had the highest handle in their 20-year history on the day they reopened. And I'm not forecasting that we will be as fortuitous as they've been, but that was a pretty nice data point to look at.
David Bain: Right on. And I'm just going to go over one question, if that's okay. I know you discussed sports wagering in the prepared remarks. And I was kind of hoping you could also touch on the iGaming opportunity. I mean obviously there's a few more political hurdles for approval. But seems to be a quicker way at least to us for state governments to build their coffers, quicker than building a new casino and some other things any thoughts on iGaming for Full House?
Dan Lee: Yes. Nice to reminding me actually. And it's not just iGaming. I think there's also some states that have considered casino gaming and this make books actually to sign them places like Virginia and Georgia and so on that they will have fiscal issues that will encourage them to consider casino gaming because it does produce a lot of tax revenues. And then on the iGaming that's going to be a very big business in New Jersey, twice as big as mobile sports betting. iGaming is where somebody can play a slot machine on their iPad. And that could be somebody in a nursing home or somebody who just lives long ways away from Atlantic City or maybe they're just bored for a minute and they pull out their iPhone and play a casino game. And the interesting thing is in Atlantic City; in the state of New Jersey, you can only be in those businesses if you're tied in with a brick-and-mortar casino. And that's been the case elsewhere in the country as well. And the brick-and-mortar casinos in Atlantic City have had growing revenue the last four or five years. Not high growth but you have a very big base so $2.5 billion a year and they have been up. And while they have been growing iwagering is now a $0.5 billion a year business and mobile sports betting is $0.25 billion a year business. And so these businesses have come on and not hurt the brick-and-mortar -- well at least so far the iGaming looks to be a bigger business than mobile sports betting. iGaming is not yet legal in Indiana or Colorado or Mississippi where we operate, but I think there's a good chance it will be in the not-too-distant future. It's a pretty easy transition to make once you already have brick-and-mortar casinos and then you have mobile sports betting. And then the state realizes that they can get more tax revenues by allowing iGaming and allowing the brick-and-mortar operators to do it. So that's -- we chose to do the sports betting in partnership with people who are in that business in part because it's a small number of independent statistical events like the Super Bowl. And you can end up with a large number of bets on one game and you could end up with an unbalanced book and -- like we're in Colorado. So if the Broncos run in Super Bowl and they're up against the Patriots, we'd have lots of people trying to bet on the Broncos and nobody on the Patriots. And we like to think we're in the gaming business, but we don't gamble. That would be gambling. And so we don't take any of that risk in our mobile sports betting operation. We do have a little bit of that risk at the little sports book down in Mississippi. And even there we managed to lose $300,000 on LSU $1 million Chipotle championship, but LSU is now only half away from us. But it was kind of a good taste of how bad it could be if you had the Super Bowl on a state-wide mobile gaming platform. And so, we're leaving that for the big guys who specialize in that stuff and they do have operations in different places. So they can be hedged. And now when you go to iGaming, we don't have that same issue. Somebody's playing on a slot machine on their iPad, it's millions of independent statistical events that have a very predictable outcome. That's our normal business. And so we would probably have to license or purchase the technology and probably hire the right people. And look it may make sense if somebody makes us a good enough offer. We still do even that in partnership with somebody else, but it is a business we could probably do on our own. And I think it'd be a big and positive business somewhere down the road. But -- and the state -- and the pressure on state finances is probably just going to help that happen.
Lewis Fanger: Yes. Our agreements with our three -- or I guess our six agreements for both states where the sports betting, does not prevent us from doing the online casino. We could always do an online casino with any of those partners for what it's worth. When we first start talking sports betting out of surprise they all wanted a casino too, but this is kind of card outside of that. And so if any of them wanted to do the online casino, you would see our guarantees go up.
David Bain: Okay. Fair enough. Okay awesome. Thanks, Dan and Lewis. Excited for everything to be open before 3Q.
Dan Lee: Yeah. So we'll divert there.
David Bain: Thank you.
Operator: And we'll go to our next question from Chad Beynon from Macquarie.
Chad Beynon: Hi. Afternoon, Dan, Lewis. Thanks for taking my question.
Dan Lee: Hey, Chad.
Chad Beynon: Some of your competitors have helped us with not only the cash burn, but some breakeven on EBITDA levels. I think across the board most of your competitors have talked about, if you got back to 25% to 40% of normalized revenues that would kind of get you to a breakeven EBITDA point. But understanding that your margins are starting from a lower point than theirs is that still kind of how you're thinking about a breakeven point, or I guess maybe just asking a question. I mean, have you done the work in terms of what you need to see from a demand standpoint to get to EBITDA breakeven across your portfolio? Thanks.
Dan Lee: Well yes, we have done that math. And I think it might depend on how you consider EBITDA. Each of our properties has a significant in any casino has a significant fixed number like utilities which will run -- it's $40,000 in Colorado and $110,000 in Silver Slipper. Insurance, it's a pretty big number. It's property insurance. In some cases, you have fixed gaming taxes that are based on number of machines and so on. And if our revenues -- in order to have breakeven EBITDA after all of that stuff, we probably need to get revenues of maybe 50% or 60% of what they were in 2019. Now I don't think that's a margin issue compared to these other people. I think because you look at that and say well I'm paying all that stuff anyway, even when it's closed we're paying all that stuff. And so what sort of revenue levels do you need to be able to contribute towards paying those utility costs and so on that would be like 25%, okay? But you got a pretty big hurdle to get over it, like you're happy to be open even if you're only doing 35% of last year's revenues because at least it's helping to pay the utilities and real estate taxes. But that's still not going to get to the EBDIT before your debt service. And then you got to get to the point we are or indenture. So, no, I'd be astounded if we don't do at least 50% to 60% of what we did last year. There isn't any new competition. Most of our customers are either retired or still employed. And we think -- and frankly I get a little frustrated because I think our customers understand that our casinos can be a safe place even in pandemic times. You can come into the building pretty easily we are going to take people's temperatures. They don't arrive in crowds. And so very few of our customers even arrive on buses or anything. And then you can go find your own slot machine and be socially distant from other people. And now craps table is a little more complicated but craps is a very small part of our business. And so I think people view us as being -- people know the experience would not feel unsafe driving their car to us and finding a slot machine to enjoy their entertainment. But if you look at some of the reopening rules that are coming out we're being lumped together with state payers and stuff like this where it might be harder to be socially distant. I find that a little frustrated. But because I think our customers do understand it that when we are allowed to open I think our customers will show back up. And -- but -- our breakeven point before we are at the point where we start to produce income to pay debt services more like 50% to 60% of what the revenues were in 2019 to answer your question.
Chad Beynon: Okay. Thanks. No, that's perfect. Thanks.
Dan Lee: And by the way I think that's true of virtually any regional casino. I'd be astounded if there was anybody at a breakeven point that was 25% of the revenues last year. I think they're probably saying...
Lewis Fanger: The casino by itself is not--
Dan Lee: Yes, if you're saying to be open and cover incremental employees would be 25%. But you got a lot of costs that you've got to play with whether the casino is open closed.
Lewis Fanger: Yes.
Chad Beynon: Right. Yes that makes -- certainly makes sense. And then during your tenure at Full House you've been on the offensive. You've been on the defensive. You've talked about looking at other businesses you bought other properties. You've had other companies look at you. I think you've mentioned that on prior calls. So, I guess, just given what's happened in the past couple of months just from an equity impairment standpoint and kind of where your stock is, where other stocks are and kind of how you look out what is the best path for shareholders? Has anything really changed in your view in terms of the strategy the best path forward to create value? Or is this just something that you guys have talked about some of the steps that you've taken to improve shareholder value? But is there anything else that is now on the table given the current environment?
Dan Lee: Well, I think the pandemic kind of changed everything and changed very fast. I mean our stock was $3.50 a share and we're trying to figure out how to build Waukegan and we were working on improving our operations. We had two properties that like we opened this little Christmas Casino in Colorado. It is pretty small. It rose -- our revenues grew 7% but that wasn't enough to offset the increased cost. And so we had moved to close that. If you back that out the Colorado results were almost flat. And in Rising Sun, we had a number of issues in the second half of last year and ended up with a pretty disciplining second half of last year, whereas the Silver Slipper had the best year in its history and that's our most important property last year. But we saw opportunities to improve our results just by not making the same mistakes at Rising Star and being more focused on getting it to better profitability and the same sort of thing in Cripple Creek. And so yes -- and we were starting to build this parking garage through the first phase of an expansion at Cripple Creek. So, all of a sudden, it was like wow you have to close and it was a boom, boom, boom, everything is closed. And you don't know how long. You don't know how you're going to be able to open. You don't know what the world will be likely to do reopen. And so immediately you start focusing on surviving, I mean, literally surviving. And because -- we knew immediately that we would be in default of our debt covenants, which allows your lenders to shove you in the bankruptcy if they chose to. Fortunately, we had with good relationships with our lenders. We started talking to them immediately because we have fiduciary obligations to them as well. And we wanted them to understand that we were working to make sure that their interests were guarded were taken care of. And we talk to them a couple of times a week and I think they are reasonably happy with what we've done to safeguard their interest. And representative of that is they gave covenants for March as Lewis mentioned. Now we're getting to where we can see the light at the end of the tunnel. We're going to be able to open stuff. I think we're going to be back to producing cash flow to payable lenders here in the next few months. I think that'll happen pretty quickly especially, when the sports betting apps starts coming online. And by later this year, maybe be back operationally to where we were like the fourth quarter this year hopefully better than the fourth quarter last year. Third quarter might even be better than the third quarter last year. And by this time a year from now maybe they found a vaccine and we're back to normal a little bit. And it just put in perspective, fortunately most of our play is slot machines. But I've been trying to figure out how you keep something as simple as a blackjack table safe. And you can and we have in some market purchases big plexiglass things that sit on the blackjack table that separate the customers from each other and from the blackjack dealer. It's a little weired that you're kind of gambling on a little phone booth, but it's possible. But then how do you deal with the chips and the cards and the money? And I happen to have a cousin who's meant to be a neurologist. And I called her and we were talking about it she's like you probably need two dealers. One dealer has clean hands the other one has contaminated hands. So when you buy chips the guy with the clean hands gives you the chips. When you lose a bet the guy with the contaminated hands takes those chips away for you because you have contaminated them. And you don't want those to be then given to a different player right? So then the contaminated chips have to literally go through a dishwasher or something to keep them clean. And by the time you start running the math and having two dealers and three players and so you can't make money on a blackjack table don't bother. Now scientific games does have a table. I'm trying to find if we can get a couple of them where they have built into them iPads that you don't need chips and it was an idea that nobody paid much attention to before. But you can put your money into a bill acceptor just like a slot machine and you make your decisions on the site that there is a dealer and the dealer deals the cards and there's a smart shoe that knows the cards that have been dealt. And all of a sudden you can kind of have a blackjack type experience without worrying about the chips being contaminated and all of that stuff. And it's like now that's an interesting idea. It's probably a table game that they couldn't sell before and now they probably can't make them fast enough. But you see you're starting to focus on this and we're long ways from starting to figure out do we acquire somebody? Because if you did look at some -- like there was a casino we looked at not too long ago that was for sale. And I don't think it's probably still for sale. It hasn't been sold that I know of. And -- but it's closed. I don't know when that's going to be able to be open. I don't know what rules, it's going to be able to reopen under. I don't know how well it's going to do once it does reopen. So I wouldn't know how to even put together a proposal to buy it even if I had the money to buy it. And so it's kind of -- we can revisit that, sort of, thing down the road. But right now we got plenty on our plate to get open what we have and then figure out where we go from there.
Lewis Fanger: Yes. We're still pretty fortunate too Chad with -- I mean, if you think about the growth pipeline just with what we have 2021 should still be a very good year relative to any other year in recent history, because of those sports betting agreements and I kind of glossed over it sometimes and I don't mean to, but the nice thing about those sports betting agreements is you have minimum. It's a $7 million minimum with essentially no expenses attached, and so you effectively have $7 million a year of guaranteed EBITDA year in, year out. And so when you start thinking about going forward, you've kind of eliminated a big swath of downside variability. You still have the existing operations, which we think we can improve further from here. And so that all puts you on a very nice trajectory here going forward once those sports betting agreements launch. Now we had talked in the past about trying to go out and refinance our debt with -- under the guide of those sports betting agreements. And that's still certainly going to be an option, but we've got a little bit of a blip between here and there, because of the pandemic. And so sometime down the line, we can look back at all sorts of things, whether it be the growth we have or growth otherwise. So we're -- the bigger picture is still there.
Dan Lee: Well, and frankly, we had EBDIT last year $15 million and change, which is just not kind of a disappointing number for us. But when we really backed into it the Christmas Casino was pretty good like $2 million -- a little over $2 million of that. And then the province we had at Rising Star was a pretty good chunk. If you back those out, it was probably $18 million or $19 million a year. And so the goal is to try to get our normal business back to about $20 million a year plus the sports betting stuff then they're $27 million. We have $108 million of debt then we're only levered four times. You can probably refinance the debt at a much lower interest rate than it is now. And that's our goal at the moment. We can be there in a year then we're in pretty good shape. And then that opens up the door to figure out okay now what do we do? Like what else to start our services, but we need to walk before we can run and we're focusing on walking.
Lewis Fanger: Opening the door. Get those doors open really.
Chad Beynon: That's correct. Thanks guys. I really appreciate it. Best of luck.
Dan Lee: Thanks Chad. We’ve probably have time for one last question here.
Operator: We'll go to a question from Steven Branstetter of ABL Investment.
Steven Branstetter : Good afternoon gentlemen. Just to reiterate the online, I guess, casino games and online poker, are those are a bit -- would you be getting like skins for those? Or if the states approve it how do you think that would go forward if any of the states approved it?
Dan Lee: Well, there's two states that I'm aware of that have -- New Jersey had it for a while Pennsylvania has just approved it. And it has to be related to a brick-and-mortar casino and/or in New Jersey racetracks. And so it would probably be similar to the sports betting, which is if you want to offer online sports betting in Indiana, it has to be done in affiliation with a brick-and-mortar casino. Now our casino is the smallest one in the state. We're in the southeast end of the state and yet you'll be able to be in a suburb of Chicago and make bets online, and if it's with one of our partners, we get a percentage of the revenue on that bet. Now if it's online wagering, that might be directly with the website that we run, but the legislation hasn't happened yet. So I don't know if it's -- do we get three skins per license like that with mobile sports betting or is it one skin per license like it is in Colorado with one skin per license, but we happen to have three licenses. And so that legislation is not out there. There is some discussion of it within the legislature that we're aware of. And I do think it's likely to happen, but it's not imminent. It's probably still a year or two away.
Steven Branstetter : Okay. Great. And I hope you have a great opening at the casinos coming up and good luck in the future. Thank you guys. 
Dan Lee: Okay. Thanks Steve.
Operator: And I would now like to turn the call back to Dan Lee for any additional or closing remarks.
Dan Lee: Okay. Now I think we're done. We're here working hard and those who are kind of used to rambling around this office on their own. But gradually, we're getting some of the other people back to work. Nevada is kind of gradually opening and hopefully this continues to go smoothly. So I hope everybody is staying healthy and hopefully there's better days ahead. Thanks.
Operator: And again that does concludes the call. We would like to thank everyone for your participation. You may now disconnect.